Operator: Good morning, ladies and gentlemen. Welcome to the Second Quarter 2023 Matador Resources Company Earnings Conference Call. My name is Olivia, and I’ll be serving as the operator for today. At this time, all participants are in a listen-only mode. We will facilitate a question and answer session at the end of the company’s remarks. As a reminder, this conference is being recorded for replay purposes and the replay will be available in the company’s website for one year as discussed in the company’s earnings press release issued yesterday. I will now turn the call over to Mr. Mac Schmitz, Vice President, Investor Relations for Matador. Mr. Schmitz, you may proceed.
Mac Schmitz: Thank you, Olivia. Good morning, everyone, and thank you for joining us for Matador’s second quarter 2023 earnings conference call. Some of the presenters today will reference certain non-GAAP financial measures regularly used by Matador Resources in measuring the company’s financial performance. Reconciliations of such non-GAAP financial measures with the comparable financial measures calculated in accordance with GAAP are contained at the end of the company’s earnings press release. As a reminder, certain statements included in this morning’s presentation may be forward-looking and reflect the company’s current expectations or forecasts of future events based on information that is now available. Actual results and future events could differ materially from those anticipated in such statements. Additional information concerning factors that could cause actual results to differ materially is contained in the company’s earnings release and its most recent Annual Report on Form 10-K in any subsequent quarterly reports on Form 10-Q. In addition to our earnings press release issued yesterday, I would like to remind everyone that you can find a slide presentation in connection with the second quarter 2023 earnings release under the Investor Relations tab on our corporate website. And with that, I would now like to turn the call over to Mr. Joe Foran, our Founder, Chairman and CEO. Joe?
Joe Foran: Thank you, Mac. And welcome to the call to all out there and tell you how much we appreciate you all taking the time to call in and listen and will provide you with the opportunity to ask questions. Simply like to begin with the simple fact that Matador is in very good health and we feel we have a very good plan that is underway and producing favorable results.  In particular, I'd like to emphasize that it's pretty simple math. We are expecting 40% growth through 2023 and how do we get to that? We began the year at 101,000 barrels of oil or gas equivalent. It will end the year at over a 140,000 barrels of oil or gas equivalent per day.  In addition, we have added significantly 98 million barrels of oil or gas equivalent just since the end of last year. So for the first six months of this where we are now it's 98 million barrels, which is a far bear indicate of our performance in our outlook than a 1 or 2% difference in production expectancy in the third quarter.  Now the reason just to clarify further and put things into context, I want to talk about the production and what you're probably not aware of, that production difference is really related primarily to three different incidents. First, is we are upgrading the advanced facilities to make them more efficient. We've had to shut in those facilities, which is approximately 1,500 barrels of oil or gas equivalent.  Second, we've had to shut in our state line production due to offset fracs from the other operators that are joining us which accounts for 1,150 barrels of oil or gas equivalent; and third, the Nina Cortell was forced to be shut in, because of the midstream company had a force majeure. There was a fire and so, we all got shut in. We had no control over that and that was 850 barrels. So total, that's 3,500 barrels a day.  But again, in my view it's far more significant that we're adding 98 million barrels of oil or gas equivalent than having 3,500 barrels that were shut in that made up a 1% difference in the production rates. Now, going into the third quarter, the outlook is very strong and you know you can continue to say us, add to production and then you look into next year, we're growing more confident every day that we meet the mark that we set out there of 150,000 barrels of oil or gas equivalent.  And so, when you look at real value, it's those kind of rates and those kind of outlook, and those kind of growth that we believe makes the most difference. And we hope you'll take that into account in making your investment decisions. The other thing is to - I think you've heard me say this before, but our strategic plan for the year was to increase production; and second is to reduce debt; and third to reduce the cost of drilling in operations.  And we're doing that. That's playing in the numbers that we’ve presented to you. We're achieving that, Production is up. The debt is down by $140 million, a significant amount during the short-term that we've added Advance. And finally, that we've gotten the operating expenses down and the drilling cost appear to have peaked and we will do better in the third quarter confident than we did in the second quarter.  So, we think the outlook is very strong. Those are the reasons for thinking that. Brian, have I left something out? 
Brian Willey: No, Joe, I think you did a good summary there. I will say that you know, it's exciting to be able to do a $1.6 billion dollar acquisition this year and still have our leverage ratio at one times and less and we expect that going forward that we will continue to have a leverage ratio of 1 times and less and we're excited about 2024 that 46 net wells on progress and the exit rate as Joe said, we're growing more confident about 150,000 BOE per day. That's hardly said and we're excited to be able to hit that next year and it could be better. 
Joe Foran: All right, and the other thing that I think that should help give you comfort that we are truly doing better than expected not only the reserve adds, but the fact that we're going to - we expect in the second half of the year to do as much with seven rigs as we did with eight, which reflects that our drilling and completion crews are reducing days on well, and becoming more efficient and that our production rates are not just staying up but they're actually growing.  So that's my case. I'm not trying to be defensive, but try to give you more information that's hard to put in a news release. But since the question came up among some of you want to supply this additional information. And so, just to repeat the full year production growth for ‘22 to ‘23 is 21%, 24% for oil and that 2023 exit rate represents a 40% production growth.  So, I make that trumps quarter three projections. And we do look at things on a - more on a full year basis of quarter-to-quarter. I'd say most likely football coach then pay that much attention to the first quarter score. But wants to know what that fourth quarter score is. 
Mac Schmitz: Olivia, we will jump into questions. Thank you. 
Operator: Thank you. [Operator Instructions]  And our first question coming from the line of Scott Hanold of RBC Capital Markets. Your line is open. 
Scott Hanold: Yeah. Thanks. Thanks for the color. I'm just kind of curious now that you've got the Advance assets in your hands for a good period of time and there is probably still more to learn. But specifically with those first, the first tranche of 21 wells that you all are going to bring on. I know you all – you are planning to do to little bit stage because you can't just obviously put a bunch of flush walls all at once, but could give us some context in terms of how big the batches are when they come on?  Does it like, three to four wells a week and then, you need another week before you kind of bring the next batch on? Is that generally the process cadence of what you expect through August and in early September? 
Glenn Stetson : Hey Scott. This is Glenn Stetson, EVP of Production. That's exactly right. So, it's a 21 well batch and the way that it works in practice is, well, really there are multiple pads where there are four, five and six wells per pad will commission the facility. It's a one facility for all 21 wells and the way that it'll work in practice is that, we will basically turn on a well every couple three days.  And so, starting in the middle August, it will really run through the end of September before all 21 wells are really kind of contributing at their - in a meaningful way. So, one thing that I did want to mention to was, what Joe commented on was when we took over these Advance properties, they really had a different setup where they had effectively one facility per pad.  And so one of the efforts that we’re conducting right now is to consolidate a number of those facilities at the Hat Mesa properties in New Mexico, we're going - we're consolidating from 14 facilities to 5 and then in West Texas from 5 to 1. So, by going - by operating six facilities, instead of 19, there are a lot of efficiencies that we gain by doing that. And so, while we have a temporary shut in, or deferred production excuse me - what you what you get at the end of that is, fewer people, so lower supervision costs and lower OpEx just from simply the reduction in the number of facilities that we’re operating.  So lots of - lots of synergies on that front. And then, how do you say? In Q3, we will really going to spend most of the second half of the quarter bringing on all those new wells. 
Scott Hanold: No, I appreciate that color. And then, pivoting to, maybe the commentary on 2024, it seems like you've got very strong and improving guidance on sort of that circa 150 target. Just can you, can you give a little context, you obviously dropped the rig that you had. So it sounds like, operations that are going well. Can you achieve that, 150-ish goal with those seven rigs that would you bring on an eighth? And any kind of view on cost savings as well? And so, looking at 2024 what kind of budget just at a high level are you thinking about? 
Chris Calvert : Hey, Scott, this is this is Chris Calvert EVP and Co-Chief Operating Officer. I’ll address the operational components to your question I guess, first. Looking at the decisions surrounding going from 8 rigs to 7, we looked at it, really three important things, A, it allows us to accomplish our goals set forth in 2023 when it comes to the number of tools that we will turn in line.  Second, it obviously provides us flexibility that gives us more optionality to reduce our debt. Third, we feel like it's prudent to be a little bit more patient in this declining service cost environment before adding that rig. And if we are able to accomplish those goals that I just mentioned, it's more prudent for us to be a little bit more patient with this eighth rig.  And all of that, excuse me, all three of those really set up for what we think is going to be a great 2024. Now, you know, budget-wise 2024, we really don't give much color until our February discussion. But we are excited about the runway that we do have, like I said we are able to accomplish a lot of the goals that we set forward and a lot of that comes from the efficiencies that we do receive on the drilling completion and production side, reducing days on the drilling side, whether that's eliminating casing strings, getting longer run times out of our bottom hole assemblies, completion, greater utilization of simulfrac – remote simulfrac. We set forward a full year target of maybe 50% of our wells would be simul fracked the second quarter. That number was actually 55%. And we're looking to exceed 60% for the second half of this year.  So I think there are a lot of efficiencies that play into being able to tell the same amount of wells that we projected with a seven rig case. So I think, for us, it was an easy decision now. The timing of the 8th rig will obviously depend on a lot of certain things, market, conditions, commodity price, the realized savings that we have seen via these efficiencies and via really kind of what we see is a peaked service cost environment.  And so, you know there we give ourselves the option to be flexible with the addition of that eighth trig 
Scott Hanold: Appreciate the color. Thanks. 
Operator: Thank you. And our next question coming from the line of Neal Dingmann of Truist Securities. Your line is open. 
Neal Dingmann : Good morning, Joe and team. Nice quarter. Joe, just started out, look at that slide 6, obviously, fantastic growth. I know it's too early for ’24. But I'm just wondering Joe like if you look at maybe just philosophically how do you guys think about sort of growth if I would look into ‘24, I mean, I'm looking specifically at maybe like that second quarter guidance post Advance through like what fourth-quarter obviously it's a nice trajectory.  And I'm just wondering, with what Chris said around the eight Rig. Should we think about kind of growth still continuing in ‘24 or maybe just how we think about growth versus any sort of other alternative shareholder return or what have you? 
Joe Foran : Thanks, Neal. That's a, - a real good question that where we talked about nearly every day is, what is the strategic plan for 2024? We know we’ll have seven rigs then what else optimizes the plan. We know we will - the way Tom and his group coming up with quality and add quality prospects to drill, we know we’ll come - we’ll get and eighth rig sooner than later in the year high likelihood, high probability to add that eighth trig.  The other factor is, as you know we're doing brick-by-brick acquisitions all the time. Last year we did, I mean, year before 250 and then last year, 206, some like that. So we're doing those all the time. And so we're going to have a formula where it's going to be primarily through the drill bit, but we hope to make selective acquisitions that in, - add to the interest we have in certain properties as well as the joining acreage.  So we can go from one mile to two miles or two miles to three miles. And so that needs to be factored in. And then as Chris said, commodity price. We - and again, as he said, wait a little bit, because we feel may be vendor prices have peaked and maybe there will be a more favorable cost environment if we wait a little bit into 2024.  But the group is ready to get going at any time that we think that conditions are favor and that's a kind of do we how soon do go to bait rigs. Look at how many acquisitions we’ve either made or likely to make. And then, the third factor is, make sure it's profitable growth at that proverbial measured pace. And then the last thing is, we are really focused on quality and inter acquisitions and drilling we're not trying to just get bigger, we want to get better.  So that our operating expenses get better and the law of averages kicks in where we raise our average reserve per well and all that plays a factor. We want an emphasis on quality rather than just getting bigger. And it seems to be working out. We think the teams have done a really good job, getting us into this better rock with both the Advance and the Ascent acquisitions to go along with our leasing activities that John has done.  And here is Dan and John on the land side have really broadened and sweetened areas that we are in. So thank you for having that success. You'll be heavier on that getting a drilling rig, as well as the acquisition. So we want to be optimistic, but I hope it gives you some idea of the calculus that we're going through every day. And by the third quarter report, we’ll have a more definite plan for you Neal. And if you'll come see us, you know, we always love seeing you and other panelists and answering your questions. 
Neal Dingmann : You guys know that makes a lot of sense. You guys been highly successful both organically and externally. So look forward to more than that. And then my second question, just on slide 9, Joe you obviously have a - in the title slide – it’s titled very appropriately the synergistic Midstream assets you all have. And I'm just want to maybe my question around those assets is, are you able to continue – or are you able to start adding a notable amount of third-party?  Or maybe just talk about sort of plans for those is now that you've told it in advance to the San Mateo and the Pronto Midstream. Would love to hear what the guys are thinking sort of short-term? Because again, I think you've outlined the CapEx was lower. I know that shifted because of activity on that. I'm thinking though, more of how should we think of that EBITDA coming from that and maybe just either third-party or proprietary activity from that? Thank you guys. 
Joe Foran: Well, that’s a great – that’s a great question. And I’d begin by saying the two assets we have they are most overlooked. One of them is San Mateo, the Midstream when we meet with people, they look at production, but they don't necessarily look too much into Midstream and that's an increasingly valuable asset.  The second thing I would like to give a shout out to Greg and Anton and others in their group, Josh and Sean, we are getting much to our pleasure in what we had hoped to achieve is a lot of repeat business from our customers who have been calling us and saying they would like that to get - put more gas in our system, and which is what we hope to achieve and they like our service.  So, I give them credit and I think they've done a really good job of making it all more profitable. So, that's and the second overlooked asset is in Northwest Louisiana when we made Chesapeake deal, you remember we reserved all the Cotton Valley rights up whole. And so that's starting - that area is starting - Cotton Valley is starting to get more drilling activity, making good wells.  So we have according to our Nolan and Sewell reserve estimate a few years ago 200 to 300 BCF of reserves there that we start any time gas prices stabilized in an area. They'll probably don't want to do that drilling went up and down, but when they stabilize, that's a another alternative for us to go. So, on the Midstream, we plan to connect Pronto and San Mateo soon.  We want to thank our partner on the San Mateo Five Points. They've been a really good partner. We've enjoyed working with them. And of course, we’re - we would like to keep expanding that relationship. We haven't gone so far to start meeting with people about possibly at another gas plant which we think will be needed to meet the overall production from that part of the basin.  And we'd like to be, one of the first to get a gas plant in either up there in that Northerly County or add to our Black River plant. So, I'm here, there's a lot of opportunities, but we want to be careful as Brian indicated to keep our leverage ratio down there to 1 or below. And, things are going well, but we don't want to get greedy. We want to be more The Tortoise and the Hare, slow but sure. 
Neal Dingmann : Thanks, Joe. 
Joe Foran: Thanks Neal and come see us. 
Neal Dingmann : Well, we'll be up there soon. 
Operator: Thank you for your questions. And our next question coming from the line of Kevin MacCurdy of Pickering Energy Partners. Your line is open. 
Kevin MacCurdy: Hey. Good morning, Matador team. Joe, you detailed in your press release your progress on debt repayment, which I know the investors are pleased with especially long-term holders. I wonder if you can talk to how you're thinking about the long-term capital allocation strategy and how you are thinking about balancing growth, debt repayment and shareholder return over the long run, given the current prices?
Joe Foran: You know, Kevin that's a very good question. And I wish I give you a specific answer. But you know that it’s a step-by-step process and the first step was to integrate Advance and confirm its values and its potential and that how that might affect the rest of the equation. The second thing is just meeting with our Board, lot of expertise, and on the - and they're active shareholders and once you know, we like dividends.  I'm one of the largest shareholders as you know, and I tell you I like dividends we all do. We want to do that in a responsible fashion and we'd like to work towards that achievement and being recognized as a company who steadily increases its dividend year-after-year. But to do it in a way that's financially responsible.  So, we've raised it from a nickel a quarter to $0.10 to – in the last couple of years to $0.20 and we will as I've mentioned at the Annual Meeting, we're going to look at this at our third quarter Board Meeting and see if prices are stable and they how the economy and the outlook goes, taking all those factors again, we would like to be able to raise it.  And it’s probably more likely than not, that we would stay this way, but don't want to guarantee your promise anything until the Board committee as a whole and look at our third quarter numbers and how the year will play out. And then we'll know how 2024 is shaping up. So, there's going to be a balance there. And then, on the on the capital allocation, as I said we tend to be more optimistic in trying to set a fixed budget and we have a fixed budget things change and you don't want to be stuck to the budget, but be able to take advantage of opportunities.  You know, the Advance is an example of that. I got a call at Thanksgiving and I wasn't expecting it and said, hey are you interested? And we started working on it from then which would have changed the plan. So we want to be nimble and opportunistic. And - but we also want to reward our shareholders who have been good to us and steadily raising the dividend, but also keeping the financial assets strong. And we have our bar and bass with the buys is it just a small fraction of our total assets.  And so we have more room on that if we should want it. Our bonds have been upgraded. The original Bonds. So, we think we have good standing and when we had the last issue, we were oversubscribed six times. So, you know, we think our standing in the market is good. So, we have the options and our team has really been coming up with good ideas.  So I just like our chances and so does everybody else and I'd like to point out that we adopted an employee shareholder purchase plan, and that we had somewhere between 90% and 95% participation. Is that right Brian? 
Brian Willey : That's right. When we started out.
Joe Foran: So, over 9%. So the whole staff is excited about this and excited about the outlook and the rewards. So, I hope that's helpful to you. I tend not to be somebody that does a fixed budget and a budgeting process, I would rather be opportunistic and nimble and move that the capital where it can be most helpful to Matador.  Brian or Tom, do you have any comment on that? 
Brian Willey : This is Brian Willey, the Chief Financial Officer. And Joe said it very well, I'd say, we are in a unique and I think a great position where we can grow production, while we also increase shareholder value and reduce the debt that we can do all three at the same time. And as we look into the rest of this year and then into 2024, we talked about the increased production in 2024 and that'll lead to of course increased cash flows really.  We can then accelerate the debt repayment and continue to make these returns to shareholders and look for opportunities, whether it be on the E&P side or the Midstream side is just to add and look for opportunities as we go forward and what would be the best – the best fit for Matador in the long term. And that's really how we manage the business. And so, just like Advance, I think that deal was fantastic because it had a number of synergies.  They had the Midstream synergy with Pronto which we are working on and we expect to bring out next year. We had water recycling. We released over 11 million barrels in recycling already from the Advance properties. And we've used the dual fuel and final frac and been able to improve on the capital side. And then, as mentioned earlier by Glenn on the LOV side as well. So, acquisitions like that are fantastic to be able to make and so we'll continue to look for those type of special deals. 
Joe Foran: Tom? 
Tom Elsener : Joe, and Brian, I think has very well I mean, the key word is kind of that nimbleness and being opportunistic and in that percolates through some of these different parts of our of our business. I think all of our production teams looking for ways to combine these – combine these tank batteries as a very innovative example of how can you take something in its current form and make it even better?  I think that, all the long laterals, the trades, everything we're doing to make these improvements. I certainly think that the Horseshoe Project that is a really kind of key example of something that didn't that didn't come from the executive team - that came from the staffs.  That came from our drilling team and working very closely with our Maxcom group to run all the different torque and drag models. And that's just one, just one example of things that we do every day here at Matador to be creative and nimble. And so, yeah, I think, I think that's part of our DNA. 
Glenn Stetson : And this is Glenn again, I might mention that, if you rewind a year ago I mean, even the Pronto acquisition was another opportunity that came up that, we were able to - we were kind of uniquely able to close on in a very short period of time. And I think it made us the ideal candidate for those assets and this year was – excuse me this last quarter was a very productive one for Pronto, where they hooked up directly to 15 of Matador’s operated wells. And we increased the throughput to that plant. And we think that it's going to be full by the end of the year, which is why we're looking at expanding.  So, I think, that – again, it's just that that approach that the Tom and Joe, really, and Brian have talked about here of being - being able to execute on the opportunities as they come up. So, be flexible. 
Kevin MacCurdy: Thanks for that answer and I’d like your chances too. As a follow-up regarding Pronto, any further color you can provide on your options and the timeline of building a new plant? 
Glenn Stetson : Yeah, we - sorry this is Glenn again. I would just say, we highlighted in the release that this is something just - as I just mentioned, we think the plant, the current plant is going to be full by the end of the year. And so, really, I mean, there are plans to expand that system with a 200 million cubic feet a day plant and right now, I mean, it's still in the planning phases. And that's where we're at right now.  So we're going to I think - we refrain to add more than that today. But that's what that's the path we’re on right now. 
Kevin MacCurdy: Thank you. And as always, I appreciate your answers. 
Gregg Krug : Yeah. This is Greg Krug with the EVP of Marketing in Midstream Strategy. I echo what Glenn had said. I mean, we're looking forward to getting a new plan out there. We think that it lends itself really well to our expanding our drill with our drilling program and also with the availability of third-party gas. We think there's a really need out there for that.  And it's definitely shown up quite a bit here lately, especially with some of our, with our competitors out there that we think that there's opportunities there to grow our third-party businesses, so. 
Operator: Thank you. And our next question coming from the line of Zach Parham of JPMorgan. Your line is open. 
Zach Parham : Yes. Thanks for taking my question. I guess, first, is on CapEx you took the CapEx budget down and reduced your guided DNC cost per foot to $1,100 per foot. Where were you on DNC cost per foot into 2Q? And how do you expect that to trend in the back half of the year? Just trying to get a sense of the magnitude of the cost deflation you're seeing? 
Chris Calvert : Yeah. Hey, this this Chris Calvert, again, EVP and co-COO. To answer your questions, first in January, we did a full year guide of $1,124 feet for dollars spent for complete a lateral feet. We have just guided that down to $1,100. And then if you think back to the first quarter, our number was about $1,014 per lateral foot. And so we all knew, and I think everybody kind of on your side of the coin knew as well, that the second quarter similar to our absolute CapEx spend, the second quarter was going to be a little bit of a high watermark for us.  And so, the second quarter came in around $1,156 per foot. And so, obviously, those are wells that are being turned online at kind of the peak of this cost - service cost environment like, Joe had said. What we're looking forward to is, is taking these capital efficiencies that we always speak to and in quarters past, the story has been those capital efficiencies are going to be used to basically mitigate cost inflation.  And now the story for the second half of the year is, those are going to be working in tandem with the sort of more competitive service cost environment. And so, like I say, the increased utilization of simul frac of dual-fuel, those things will not be working in series so to speak with this kind of a more competitive service cost environment.  So Looking forward for that $1,100 per completed lateral foot, we do expect to realize some pretty immediate cost savings, both on the completion side really immediately into the third quarter and then on the drilling side as well, going into the latter half of the year and then into 2024. And so, we are guiding that number down and that number comes from a combination of those capital efficiencies that we've spoken to and then also the more competitive service cost environment.  So it is somewhat of a mix of both, but once again, our strategy here is control. We can control and utilize simul frac, dual-fuel technologies, drilling wells, faster, completing wells, faster, and that has really as it's always been kind of underpin to these cost savings that we speak to. 
Joe Foran : One of the other thing, Zach is that, while we want to get the cost down, we want to do it not by going to cheaper products, but we want to keep up the quality. We like the vendors that we have. They are quality vendors with quality products. So you can be - as you know the old saying Penny Wise Pound Foolish. If you're just going to something that's cheaper and Chris and them I think you've done a very good job of balancing cost against quality to make sure that our wells is well equipped with the best products possible. 
Zach Parham : That's great color. Just one quick follow-up. Joe, you talked about three issues that would impact your 3Q production in your prepared remarks. Well, those issues persisted to 4Q, just trying to reconcile that 1,500 barrels of oil a day reduction in the in the 4Q volume guidance. 
Glenn Stetson : Hi, Zach, this is Glenn again, EVP of Production. Yes, some of the shut-ins at state line associated with offset fracs will continue and to Q4. And we've included those numbers when we're, when we contemplated the exit rate at the 143,000 BOE. So, it'll still impact Q4. But we've included those impacts. 
Brian Willey : Yeah, this is Brian Willey. Glenn is exactly right. It does include the impacts but, going into Q4 the state line shut-ins, essentially about 2,000 BOE per day is the impact. And so we would have a higher exit rate if those shut-ins didn’t happen. So I think it's, we're really proud of the exit rate we have. And as we get those wells back on, just as Joe said earlier, these are temporary shut-ins that the oil and gas are still there.  So, it's just a temporary shut in that we put it back online and then we are able to take advantage of those production up from those wells. So we're excited again back on the end of the fourth quarter and into next year. 
Joe Foran : The Nina Cortell should be back on, no problem. The facilities will be finished with them. 
Zach Parham : In Q3, yes sir. 
Joe Foran : Yeah. Glenn is nodding his head, yeah. If not he'll be up here at Christmas. 
Zach Parham : Great. Thanks guys. Really appreciate the color. 
Operator: Thank you. Our next question coming from the line of Subash Chandra of Benchmark Company. Your line is open. 
Subash Chandra: Thank you. Hey Joe, a question on ‘24. So that you're comfortable with the guide 150. Any thoughts on the oil cut, if that's a number we can take kind of the 4Q number of run with? Or as maybe the Advance properties mature and gas plants come on, we might see a heavier gas mix. 
Joe Foran : Well, I think the expectancy is subject to whatever, Glenn adds to my remarks is that we expect to go out the year at about 60% and that will increase in 2024 to somewhere between 62% and 64%. Glenn, is that right? 
Glenn Stetson : Yeah, Joe you nailed it. That's exactly right. We’ll exit the year about 60:40 split - 60, oil and 40% gas on a daily basis. And one thing that could affect that as we continue to develop the Advance properties, we will get wilier, but just like in Q2 of this year, this quarter that we just reported on, there was some non-Op activity in the Haynesville where we had some pretty hefty overrides. And that's not really something that we can control the timing on and that might move our gas volumes on a BOE basis up or down a percent or two. So, kind of subject to activity in the Haynesville, that can change. But the 60:40 split is a good benchmark I think. 
Subash Chandra: Got it. Yeah, no I wouldn't turn away free gas. The - as far as I think, I appreciate your comment that you don't want to say more on the gas processing expansion, but just hypothetically, a plant of that scale, how much do they run? 
Joe Foran : Say that again, please. 
Subash Chandra: Yeah. How much was a – yeah, how much of the plants run? 200, 200 a plant? 
Joe Foran : Well, it depends on the size. We have cost – I must say cost, there are a lot of it depends on the size of the plant and whether it's for regular gas or for - gas and again some of it depends on the competitive environment. So it's very difficult. I would hesitate to say some and our reaction to some of that depending on what that cost it may influence whether we take on a partner or not.  And because again, we want to protect the balance sheet. We want to reduce debt. And while we'd like a plant we don't - we're not trying to get a monopoly on new plants out there in that area. We work with somebody else that would somehow make the proposition better. So, Zach at this time, it'd be really hard to – through the exact number because designs can come out in a number of different ways. So until we have a firm design, it’d be difficult. So when we do I’d be - we'd be happy to share it. And again I say the same thing come see us and it'll be a, we can tell you where we are at that moment. 
Subash Chandra: Thank you. 
Operator: Thank you. And our last question comes from the line of Leo Mariani of ROTH/MKM. Your line is now open. 
Leo Mariani : Hi. You guys obviously talked about Advance production kind of being a little bit better than expected. I was hoping maybe you could kind of quantify that. I think you guys were 24 – 25,450 barrels a day in the first quarter and where that number of kind of come out in the second quarter? And maybe just talk about the trajectory of Advance as we get into 3Q and 4Q a little bit will be helpful. 
Tom Elsener : Hey Leo. This is Tom Elsener. We've certainly been very happy with the Advance production so far. It's done remarkably well compared to our forecast. And so, I think we're just right in there within a few percent of what we had targeted so a little bit few percent better. So, overall, we're very happy with it. I know, the team is taking over those properties and have done a great job of improving the production, through some ESP replacements and some other things. So, we things are moving, moving on very well. 
Leo Mariani : Okay. Also want to just ask a little bit about sort of debt paydown. It sounds like you guys maybe have paid down debt a little bit faster in the last handful of months than maybe expected. Can you kind of talk a little bit about sort of, when you can think you can get to getting that revolver sort of paid off?  I mean, sounds like it's a pretty important goal for you folks. I know, obviously I will be dependent on commodity prices. But, if we look at strip, I mean, you think that's something that can be pretty much fully paid off kind of by middle of next year. Just looking for a rough estimate and when we can expect that that to get paid off. 
Brian Willey : Yeah, thanks Leo. This is Brian. And you are right. It is an important goal for us and it’s something that we are certainly focused on. And it does depend on oil prices and the realize of those prices that we get and the other opportunities that we have, of course, including building the new plant and any other E&P opportunities we have going forward.  But I think right now, depending on whether or not we get a partner on the planet, you know, if we get a partner, I think that we'd be close to paying that off by the end of next year at current strip. And that continues to be one of our goals as we go forward. 
Leo Mariani : Okay. Thanks guys. 
Joe Foran : Thanks and come see us. 
Brian Willey : Leo, thanks. Come see us. 
Operator: Thank you, ladies and gentlemen. This end the Q&A portion of this morning's conference call. I would like to turn the call back over to management for any closing remarks. 
Joe Foran : Thank you. All those are good questions. We appreciate the discussion. It sounds like y'all done your homework. And I hope that was helpful to you in your own planning. As you all can see from us, we've had in my Chairman's remarks, we've had I make a remarkable run 36 quarters, where we met or exceeded industry guidance.  And again if we had to do it all over again we did pretty much like we did. We didn't want to - we had Advance that gave us a headwind on production, but we’re down by one or two percent. But the big number is, look at the reserves we added in the first six months of the year and the reserves we will add in the last six months.  And production is on a very strong path to grow and the costs are coming down. The debt is coming down and we think our opportunities are increasing. We like our position in the Delaware and we're one of the larger operating companies with one of the larger acreage position. So that's the acreage is going to be something that's going to keep on giving, Ned, our Head of Geosciences just over and over again has examples of whether of where the Delaware has extended itself by adding new producing horizons in this six months.  So we're excited as I hope you can tell and eager to visit with you and we always feel somewhat limited that not able - time doesn't allow us to go ahead to all the detail that goes into our decisions. But if you could be here, and listen to us as we go in, you'd see that plans are thought out. Great Board. Great. executive team. Great staff. And so far, touchwood, we feel we've gotten to the right answers and when it's an opportunity presents itself, we've made the right decision whether to do it or not.  We hope that record of 26 consecutive quarters that's nine years, gets us some trust and confidence that we're on a good path when we outline this and look, not to one quarter’s production looks the full year and not just lose a full year. Look that we are adding reserves, proved reserves. Proved developed developers at a favorable pace and a favorable cost.  So, that's kind of a summary of what we're trying to do. Good people, the technology, trying to take - or as you heard from Chris, trying to take full advantage of the innovations and the new technology and we're recycling on the environmental side. We didn't get any environmental questions. But once you know we're making, we think some great strides in the environmental responsibility including recycling water and having more and more of our production in water and gas on pipe.  And that we're continuing in improvements there and real pleased with that. And the innovation of the Horseshoe is going to add to the number of locations, and we're drilling longer and longer laterals that have better economic benefits. So we think in all the areas that the team is making good moves and we think this is going to be one of the best years we've ever had. And 2024 is going to be even better.  So with that, I'll sign off. But now that Mac’s phone number handy and Brian's and they will always be available to you. 
Operator: Ladies and gentlemen, thank you for your participation today. This concludes today's program. You may not disconnect.